Operator: Good morning, ladies and gentlemen, and welcome to the Jack Henry & Associates’ First Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions) As a reminder, this conference call is being recorded. I would now like to turn the call over to your host, Mr. Kevin Williams, CFO of Jack Henry & Associates. Mr. Williams, you may begin.
Kevin Williams: Thank you, Bridget. Good morning, and again, thank you for joining us for the Jack Henry & Associates’ first quarter fiscal 2015 earnings call. I am Kevin Williams, CFO, and on the call with me today is Jack Prim, our CEO. The agenda for the call this morning is, Jack will start with his thoughts on the performance of the quarter. Then I will provide some additional thoughts and comments regarding the press release we’ve put out yesterday after market close, and then we will open the lines up for Q&A. I need to remind you that remarks or responses to questions concerning future expectations, events, objectives, strategies, trends or results constitute forward-looking statements or deal with expectations about the future. Like any statement about the future, these are subject to a number of factors, which could cause actual results or events to differ materially from those which we anticipate, due to a number of risks and uncertainties, and the company undertakes no obligation to update or revise these statements. For a summary of these risk factors and additional information, please refer to yesterday’s press release and the sections in our 10-K entitled, Risk Factors and Forward-Looking Statements. With that, I’ll now turn the call over to Jack.
Jack Prim: Thanks Kevin. Good morning, and welcome to our first quarter earnings call for fiscal year 2015. We are pleased to again be able to report a strong performance for the quarter, solid gains in every revenue component with the exception of hardware, allows us to show organic revenue growth of just under 8% in the quarter. Outsourcing, payments and implementations, all showed strong growth, and license fees were up nicely with contributions from new core and add-on complementary product sales. The decline in hardware revenue is a reflection of the continued interest in hosted delivery of our products, resulting in fewer sales of new core processing units, and reduced upgrades to existing processors, as in-house customers transitioned to outsourcing. We held our Annual Banking and Credit Union user conferences in recent weeks, and observed continued improvement in their outlook on the business environment, citing improved loan demand even in areas like the Southeastern United States, which were hit particularly hard in the recent recession. It was a good start for the year. We look forward to continue the progress. And with that, I’ll turn it over to Kevin for a closer look at the numbers.
Kevin Williams: Thank you, Jack. Our support and service line of revenue continues to drive our total revenue growth, as it increased to $292.5 million, which is an 8% increase over the same quarter a year ago. And our support and services now represented about 92% of our total revenue in the current quarter. To breakdown the support and services a little bit further into the four primary components: the implementation revenue was $26.3 million this quarter, which increased 16%; our electronic payments was $119.4 million, which is a 9% increase over a year ago; our outlink data processing was $63.1 million or an increase of 13%; and our in-house maintenance at $83.7 million was an increase of 3% for the quarter. Our recurring revenue, which is made up obviously the electronic payment, outlink and our in-house payments, expressed a growth of little over 7% for the quarter compared to the prior year, and still represents 79% of our total revenue for the quarter. Our consolidated gross margins decreased slightly to 42% for the quarter from 44% in last year’s quarter. License margins increased to 90% from 88% last year, support service margins decreased to levels of 42% from 43% year ago due to sales mix, and our banking segments – I’m sorry, hardware is 26% up from 24% a year ago. Our banking segment gross margins were steady at 42% and our credit union segment margins decreased to 46% compared to 47% a year ago. In the bank segment, license margins increased to 90% from 84% a year ago due to fewer third-party solutions sold in the quarter. Our support and service margins for the bank segment decreased slightly to 41% from 42%, and our hardware margins increased to 26% from 23% in our bank segment. In our credit union segment, license margins were 90% compared to 93% a year ago. Support and service margins were steady at 44%, and hardware margins were also leveled at 26% for both periods. Our total operating expenses increased 8% for the quarter compared to prior year. Our operating margin remained level at 26% compared to the last year and our operating income increased 7% for the quarter compared to last year. Organic operating income increased about 8% compared to last year, as the acquisition that we did last March continues to be slightly diluted. The effective tax rate for the quarter was at 36% compared to 35.5% last year, obviously because the R&E credit has not been renewed. Our net income increased 6% for the quarter compared to last year, and our EPS of 64% was up 10% over last year was positively impacted by the stock buybacks. Our EBITDA increased to $112.1 million for the quarter, compared to $103.3 million a year ago or approximately 9% increase in the EBITDA. Depreciation and amortization expense at $29.5 million this quarter was $13.6 million depreciation and $15.8 million in amortization, compared to $25.9 million in D&A this quarter last year. Included in the total amortization is amortization of intangibles from acquisitions, which is up slightly to $5.4 million, compared to $5.2 million this quarter a year ago. Our free cash flow year-to-date was down compared to last year due to our operating cash flow being down slightly, primarily due to net changes in the working capital items. The CapEx increased significantly this quarter due to the timing of some infrastructure upgrades and expansions, especially in the area of our high capacity storage, which had possession at the third plan in our plan upgrade cycle, which the fourth and final one will be about a year from now. The internally used developed software was up slightly compared to last year, and our cap software increased again, as we continue to focus on some significant product development. And then obviously our dividends increased once again, which all of these related dollar amounts were disposed in the press release yesterday. So net of all those adjustments are result of free cash flow of $32.2 million compared to $58 million last year for this quarter. Our cash balance is down significantly for the quarter or for the year ago and even from fiscal year end, due to the purchase of little over additional million shares this quarter on top of 3 million shares that we bought last year. For our ongoing guidance, there is no change in our guidance. We continue to expect top line revenue in the mid-to-high single digits. As we’ve discussed on previous calls, we don’t anticipate much in the way of margin expansion this year for either gross margins or operating margins, due to the significant investments in increased personnel that we’ve made in the last 12 months. We do obviously anticipate the usual quarterly fluctuations due to sales mix going forward, but no significant change in the margins. There should be some leverage to our EPS from our shares bought back. We currently have 4.1 million shares remaining under authorization buyback with no timing or price constrains. That concludes our opening comments. We are now ready to take questions. Bridget, will you please open the call up for questions.
Operator: Thank you. (Operator Instructions) Our first question is from David Togut with Evercore. Your line is open.
David Togut – Evercore ISI: Thank you. Good morning, Kevin and Jack.
Kevin Williams: Good morning.
David Togut – Evercore ISI: It’s actually now Evercore ISI. We just completed our combination. Just a couple of quick questions. First, if you could dig into the key drivers of electronic payments revenue growth. It was 9% in the quarter. That’s down from 15% a year ago, but up from 5% in the June quarter. Could you just walk us through the puts and takes behind the 9%, and what you see going forward?
Kevin Williams: Yes. David, it was pretty solid performance on each of those components. I think bill payment transaction growth was up about 18%. The PassPort debit and credit transaction processing was up a little over 8%. I don’t have the remote deposit capture numbers handy, but they were up solidly as well in the quarter. So it was a pretty good performance across the board on various payment products.
David Togut – Evercore ISI: And is this high-single-digit growth rate in electronic payment sustainable?
Kevin Williams: Yes. We think so, David.
David Togut – Evercore ISI: Got it. And just moving on to the large credit union business, Fiserv has been highlighting its success with DNA, the Open Solutions acquisition. What have you seen with Symitar head-to-head against DNA over the last few months, and what do you see going forward?
Jack Prim: Well, Symitar has continued to quite well, David. We signed in the quarter two credit unions that were over a $1 billion in assets. I think we had a total of seven new core footprints in the credit union. All of those were competitive replacements. We don’t even put out a press release when we sell something to an existing credit union or bank that moves from in-house to outsourcing or buys a new license for whatever. So all of our wins are competitive takeaways.
David Togut – Evercore ISI: Got it. And then just shifting to software capital, it looks like it was up about 28% in the quarter. I thought Kevin you were calling that out to be flat for FY15. Did something change?
Kevin Williams: Well, I would say, David, we just continue to focus on some of these major projects. I think we have actually stepped up the pace on some of the projects to get them roll last quarter than later. So it’s just a matter of timing of time to get these products developed and out the door.
David Togut – Evercore ISI: What are the biggest products behind the software cap number?
Jack Prim: Dave it’s going to be any number of products that have significant expenditures on. Some of the couple or larger projects are the Emphasis [ph] product line credit union side, SilverLake enhancement they were doing on the banking side. You got compliance or related development across the board on all of those products, but even your complementary products whether its development on the mobile side, internet banking side, whether it’s just an architecture or refresh of some product. When you’ve been in business for 37 years and you got over 100 products, there is something that’s always in need of some development attention in addition to whatever new product development effort. So it’s hard to pinpoint any one or two particular items.
David Togut – Evercore ISI: Great. And just quick final housekeeping question. What were deconversion fees in the quarter, and then the September 30 share count?
Kevin Williams: Deconversion fees were right at $5 million, compared to a little over $3 million a year ago. So about a half [ph] percent of our total revenue growth came from a slight increase in deconversion fees. So even without those, we were still over 70% organic growth. The share count at September 30, roughly $82.5 million, Dave.
David Togut – Evercore ISI: Great. Thank you very much.
Operator: Thank you. And our next question is from Dave Koning with Baird. Your line is open.
Dave Koning – Robert W. Baird: Yes. Hi guys, great job.
Jack Prim: Thanks David.
Dave Koning – Robert W. Baird: Yes. And so, I guess first of all, you’ve talked the last couple of quarters about kind of starting the new hosting product across your clients. I’m just wondering – I know that’s going to take a lot to ramp, but was there any benefit yet from that in the quarter?
Jack Prim: No financial impact in the quarter, Dave. It has been well received, and we’ve had our banking user conference about two weeks ago, a lot of discussion around it, there’s good bit of interest. So we’re still pretty optimistic that we’ll see some solid uptake there, but again, that is something that’s going to build slowly. I wouldn’t predict anything noteworthy if even noticeable in this fiscal year, but I think it’s something that will gain momentum and become more of a factor in the near future.
Dave Koning – Robert W. Baird: Okay, great. Secondly, just I don’t know if your banks are quite as focused as some of the bigger banks on the Apple Pay roll-out, but just wondering your context, obviously it just seems like there is no reason for the banks to want to really push that given – it seems they are giving up pretty big chunk of their economics of interchange. I’m just wondering, have you talked to banks about it in kind of what the context is?
Jack Prim: Yes, it’s kind of across the board, Dave. There are some that just aren’t quite sure yet what to make of it or whether or not they should be interested. There are others that are very interested in it, even if it means given up some interchange, they feel like it’s something that they need to be in a position to offer to meet their customer demand. So we’re working very closely with those banks and credit unions and with Apple for those that do want to be first in line or as soon as they can get in line and blast appropriately by Apple, going through all their processes but – so we’re working with those that are interested. Again I think in some cases, it’s still trying to understand exactly what the announcement means and then others. You got your early adopters that are going to want to be in their early, just in case, it does turn out to be something of significance.
Dave Koning – Robert W. Baird: Okay, great. And then just finally, you’ve bought back more shares in the last couple of quarters than normal. Is the strategy to kind of keep the balance sheet kind of cash and debt neutral now, and I guess if so, Q2 and Q3 you used cash flow that much. So I’m just wondering, should we expect to later buyback in the next couple of quarters, just given you have cash flow quite is season – from a seasonal perspective?
Jack Prim: Well, I would tell you, Dave, we actually have our board meeting next week and that’s a topic that comes up every quarter. I think the plans this year is to continue to take a few shares off the table. The use of the revolver is – it doesn’t bother us to succeed by shares, because obviously next summer we’ll have another inflow of cash. I don’t think you’ll see us lever up a whole bunch to buy back stock, but I think we’ll continue to take some off the table.
Dave Koning – Robert W. Baird: Okay, great. Thank you.
Jack Prim: Thanks Dave.
Operator: Thank you. And our next question comes is from Brett Huff with Stephens Incorporated. Your line is open.
Brett Huff – Stephens Inc: Good morning guys.
Jack Prim: Good morning Brett.
Brett Huff – Stephens Inc: A couple of quick questions. Just to make sure that I understood the last comment that you made on the repo pace Kevin. I think that you had mentioned at the end of the last call that you guys were thinking maybe a million shares through the year. Are you giving us any more clarity on that specific number, or any color on that?
Kevin Williams: Well, I mean we decided to go ahead and take a million this quarter Brett. I don’t know – I mean, that was kind of the direction I had from the board going into this quarter after the board meeting in August, was to go ahead and take a million off. So again the board will talk about this next week and give me some more clarification on how much more to take. So I’m sure we’ll take some more off the table Brett. So if you want to assume that we’ll take another million shares off for the balance of the year, that’s probably not a bad assumption.
Brett Huff – Stephens Inc: Okay, that’s helpful. And then in terms of some of the spending you guys are doing, I think I understand what those items are. As we look out, you said that you expect the margins to start to go up or expand again sort of once we get through this [indiscernible] of some of the spending. Can you tell us about those expectations for free cash flow growth next year as we’re thinking about the impact of maybe moderating spending, or at least not any increases next year on that metric?
Jack Prim: Well, as we said on the last call, Brett, I don’t think anything has changed. I mean margins are going to remain relatively flat this fiscal year. I think you’ll see some expansion margins next year. I think we could see some expansion in EBITDA margins even this year, as the DNA continues to increase from prior and current CapEx and cap software that we’ve been spending on. So I think free cash flow should go back to a nice increase in the next fiscal year. Some of the CapEx that we spent this quarter obviously the fourth plan, which is not going to have a huge impact on depreciation, because we obviously got rid of a plan, as the process went on. Some of the CapEx as I mentioned as some of our shared storage, which a lot of that is driven by the – getting ready to put up the hosted network services and some other things we’re doing, all of our back in imaging and different things. So these are the things that will continue to grow. And again to your point, free cash flow should go back to a nice growth trajectory next fiscal year.
Brett Huff – Stephens Inc: Okay. And then one housekeeping thing, in-house backlog. I think you guys had said last quarter that you were not going to continue telling us the outsource backlog number because it didn’t make a bunch of sense. Have you stopped using in-house backlog as well, or what – could you give us that number?
Kevin Williams: We decided, Brett, we’re just not going to give backlog. We took so many different things moving in and out of there and we’re just going to give that on an annual basis in the 10-K.
Brett Huff – Stephens Inc: Okay. And then last question, this is more on product. Obviously mobile banking continues to be something that’s popular. Jack, I think in the last call you said that the economics can be a little bit variable and there is a lot of competition. What can you tell us on sort of how you all are thinking about your product development, or how your sales folks or your usage is looking on mobile banking, relative to use of internet banking. Are you seeing a shift? Is internet banking usage declining as mobile banking is picking up, and what’s kind of the impact for product development for you on that?
Jack Prim: Well, we’re seeing solid growth in mobile banking, Brett, both in the existing mobile apps that we had prior to the Banno acquisition. We’ve kind of put out a refreshed set of applications for our Girdle [ph] product which have been very well received by the client base and sales of that product remains very strong. The Banno Mobile product is selling well. We’ve released a tablet application. With the same time, there is still a need for continued investment in the internet banking solutions. So I don’t know that I could quote you clear statistics on what’s happening to internet banking usage relative to mobile. I think mobile is clearly on the uptrend. I’m not seeing anything that at least makes it believe there is any significant downturn in usage on the traditional internet banking solutions. And there seems to be a lot of ongoing demand for further enhancement and improvement on some of those systems as well. So I think my gut feel, not supported by any evidence, is that the internet banking usage is staying very solid and we’re seeing significant growth in usage on the mobile side.
Brett Huff – Stephens Inc: Okay. And then last question on competition. You talked a little bit about some competitive takeaways, were those from – in general, are those from Fiserv or D+H or other sort of smaller platform. You want to hone in on that?
Jack Prim: We pretty much take a good cross section of the industry. So the contributors are going to be largely weighted to what the market share is in the credit union industry. So we’ll replace some of everybody on an annual basis, and certainly some folks have a larger presence in the credit union industry. So we’ll tend to contribute a little more to that.
Brett Huff – Stephens Inc: Okay, that’s wonderful. Thanks guys. I appreciate it.
Kevin Williams: Thanks Brett.
Operator: Thank you. (Operator Instructions) And our next question is from Glenn Greene with Oppenheimer. Your line is open.
Glenn Greene – Oppenheimer & Co: Thank you. Good morning guys. I guess the first question, you may have alluded to us – sorry, I jumped on the call, but the credit union growth a little bit slower 4%, 5%. In the context, it sounds like you feel pretty good about the competitive situation, but maybe give a little bit of color for somewhat slower growth of peers in the credit union market?
Jack Prim: Yes, I think mainly, Glenn, that we had a very significant growth last year in the credit union space, and so it’s – compared to the year ago quarter, it’s a bit more of a tough comp, but again very steady. Certainly anticipate as we’ve been saying for a year and a half now, that we do expect to see more competition from the – as a result of the Fiserv and Open Solutions acquisition. And certainly I think their efforts have been focused on retaining their existing customers. And so we’ve certainly would have expected that would be the case. I said that from the very beginning, and I think that certainly has been where a lot of their focus has been, but we’re still winning our fair share of the new opportunities in the market and still feel good about our opportunities.
Kevin Williams: And Glenn, the support and services line within the credit union segment was still over 7% growth. So it was really just some tough comp in the license and hardware, which were both down quite a bit in the quarter, just because of primarily the timing of delivery. There were some bigger deals delivered last quarter than this quarter, but the lion’s share of revenue is still support services and still growing very nicely.
Glenn Greene – Oppenheimer & Co: Okay. Do you think your competitive win rates stable, up or down, relative to a year ago?
Jack Prim: It’s relatively stable at this point, Glenn. Again as I have said for some time now, I would expect that to moderate some based on getting some of the things worked out on that particular acquisition, but at this point, it’s still pretty stable.
Glenn Greene – Oppenheimer & Co: Stable. Okay. And then Kevin on the full-year, just the growth we saw in payments and outsourcing in this quarter. Is that kind of reasonable, similar kind of growth expectations on a full-year basis that we’re thinking about?
Kevin Williams: Yes. That’s pretty much the guidelines. I think payments will continue to grow in the high-single-digits and outlink should be in the low-double-digits for the year.
Glenn Greene – Oppenheimer & Co: Okay. And then the trends in the in-house to outsource, is that just sort of continue or any acceleration in the movement towards outsource, because actually outsource, it looks like it accelerated a bit?
Kevin Williams: It’s pretty stable, Glenn, just to continue going on. I mean it accelerated a little bit, because remember, last year there were some sizable deconversion fees in there that kind of made some tough comp and everything. So it’s just kind of [indiscernible] now.
Glenn Greene – Oppenheimer & Co: Okay. And then on margins, it sounded like you kind of reaffirm sort of the flattish margin expectation. You’ve been kind of doing that for a while and over-delivering on your promises. Is there a potential for upside to margins for this year and what would be the catalyst for that?
Kevin Williams: Glenn, we’ve always tried to tell you what we think what we’re going to do, and then we try to do it or beat it, so not much changes in there.
Glenn Greene – Oppenheimer & Co: Okay. Thanks a lot.
Kevin Williams: Thanks Glenn.
Operator: Thank you. And I’m not showing any further questions. Mr. Williams, please proceed with any further remarks.
Kevin Williams: Thanks Bridget. Again, we want to thank you all for joining us today to review our first quarter fiscal 2015 results. We are pleased with the results from our ongoing operations and the efforts of all our associates to take care of our customers. I expect these managers and all of our associates continue to focus on what is best for our customers and our shareholders. With that, I want to thank you again. And Bridget, will you please provide the replay number?
Operator: Ladies and gentlemen, this conference will be available for replay at 11:45 Eastern Time today through 11:59 PM on November 12. You may access the remote replay at any time by dialing (800) 585-8367 or (404) 537-3406, and entering access code, 24702132. Those numbers again are 1 (800) 585-8367 and (404) 537-8367. The access code is 24702132. That does conclude our conference for today. Thank you for your participation in today’s conference. You may now disconnect at this time.